Operator: Good day, ladies and gentlemen, and welcome to the Hyster-Yale Materials Handling Inc. 2015 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this conference call is being recorded. I’d now like to introduce your host for today’s conference Christina Kmetko of Investor Relations please go ahead.
Christina Kmetko: Good morning, everyone, and welcome to our 2015 first quarter earnings call. I am Christina Kmetko and I am responsible for Investor Relations at Hyster-Yale. Joining me on today’s call are Al Rankin, Chairman, President and Chief Executive Officer of Hyster-Yale Materials Handling; Colin Wilson, President and Chief Executive Officer of NACCO Materials Handling Group; and Ken Schilling, our Senior Vice President and Chief Financial Officer. Yesterday, we published our first quarter 2015 results and filed our first quarter 10-Q for the three months ended March 31, 2015. Copies of the earnings release and 10-Q are available on our website at hyster-yale.com. For anyone who is not able to listen to today’s entire call, an archived version of this webcast will be on our website later this afternoon and available for approximately 12 months. I would also like to remind participants that this conference call may contain certain forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today in either our prepared remarks or during the following question-and-answer session. We disclaim any obligation to update these forward-looking statements which may not be updated until our next quarterly earnings conference call, if at all. Additional information regarding these risks and uncertainties was set forth in our earnings release and in our 10-Q. Also certain amounts discussed during this call are considered non-GAAP. The non-GAAP reconciliations of these amounts are included in our earnings release and available on our website. Now for our consolidated quarterly results, our consolidated first quarter 2015 revenues were down 7.9% to $622.3 million from $676 million the prior year and our net income decreased to $13.9 million or $0.85 per diluted share from $22.1 million or $1.31 per diluted share a year ago broadly in-line with our expectations and as we previously indicated. Included in these results is a full quarter of our recent acquisition Nuvera which we acquired in December 2014. I would discuss the lift truck business in Nuvera as two separate segments starting with our lift truck business. The lift truck businesses revenues were $621.1 million and net income of $17.5 million for the first quarter of 2015 compared with revenues of $676 million and net income of $22.1 million in the first quarter of 2014. Operating profit was $27 million in 2015 compared with $31.6 million last year. Our lift truck revenues were significantly reduced by unfavorable foreign currency movements again as was expected coming into 2015. In fact currency is $33.2 million detriment to revenues was the major driver of our revenue decline as we expect that the transition to the new plant in Brazil was the driver of our decline in shipment and the second largest factor in our decrease in our revenues. In the first quarter of 2015 worldwide new unit shipments decreased to 19,859 units from 20,641 units in the first quarter of 2014. Excluding Brazil, shipments were slightly higher than a year ago as a result of increase in shipments in both North America and Europe. Mix did not affect as much this quarter. Overall we shipped on average lower price units in the Americas but that was partially offset by shipments of on average higher price units in Europe. We have stated that our goal is to get 115,000 units over the next three years to help better understand how we are progressing towards this goal, we have began providing price per booking this quarter in addition to the already reported backlog in shipments. Our backlog increased 10% to 31,900 units over the prior year first quarter while our bookings increased 11% to 23,700 units. The factors affecting revenues were also the main contributors to the decrease in our gross profit by $8 million. In addition to the plan to lower production as a result of the transition to the new plant in Brazil whether related U.S. plant shutdowns and higher U.S. help tier cost added to the unfavorable manufacturing variances during the quarter. Nonetheless, we still had a slight increase in gross margin from 16.5% in last year's first quarter to 16.7% this year with somehow from lower than expected material cost. The decline in operating profit and net income was not as great as the gross profit decline due to lower selling, general and administrative expenses. Again foreign currency had an impact reducing SG&A by $2.6 million. It also had generally lower employee-related cost compared with the 2014 first quarter. However we did incur $1 million of pre-tax expense in SG&A this quarter as a result of the move to the new Brazil plant. Now let me turn to the outlook for our lift truck business. Although markets were generally stronger than we had expected in the first quarter of 2015 we still believe growth rates for the global lift truck market would decelerate in the remainder of this year resulting in nominal growth compared with 2014. In 2015 modest growth is expected in the Western Europe and Middle East and Africa market. The North America and Latin America, Asia-Pacific and China markets are expected to be relatively flat and declines are expected in the Brazil Eastern Europe and Japanese market. Nonetheless, despite these market conditions, we expect the moderate increase in unit shipments and parts volumes. The increase in unit shipment in 2015 is expected to be driven by Europe and North America with moderate increases in Asia Pacific. However, because of the production shutdown for the Brazil plant move in the first quarter of 2015, and Brazil soft economy we expect full year 2015 unit shipments in Brazil to decline from 2014 level. Thanks for the currency headwinds and the substantial decline in unit volumes this quarter we expect revenues to decline modestly in full year compared to the 2014 despite our continued execution of our strategic initiatives and anticipated market share gain. Also as a result of these initiatives we expect revenues to be negatively affected by a shipment sales mix to un-average lower price lift truck. Our Brazil plant has ramped up well and we’re currently running at appropriate capacity to meet current demand levels. We expect the 2015 lift truck segment operating profit to be similar to 2014 after you exclude the $17.7 million gain on the sale of the Brazil plant we laid last year. We previously projected and we continue to anticipate substantially lower operating profit in the first half of 2015 primarily because of both this quarter’s lower operating profit and because of expected lower operating results in Europe in the second quarter driven largely by currency. However, despite anticipated unfavorable currency effects improvements are expected to occur in the second half of the year as the new Brazil plant will be running at its normal capacity for the full period. Overall, in 2015 we anticipate increases in unit shipments in part sales to be offset by increases in employee related expenses as well as higher manufacturing and operating costs associated with the transition to the new Brazil plan and rollout of global manufacturing information technology system in 2015. Also one other item to note is that the lift truck business has begun and expect to continue to incur modest incremental expense as it had sales and marketing capabilities to help capture the lift truck sales opportunities associated with this acquisition of Nuvera. Overall, excluding the gain on sales in the Brazil plant we expect the lift truck businesses full year 2015 net income to decline from 2014 primarily due to the reasons previously highlighted and higher income tax expense resulting from non-recurring tax benefits received last year and a higher effective income tax rate this year compared with 2014 attributable to an anticipated increase in the portion of our income in the Americas operations which have a higher tax rate. Of course these tax rate expectations are based on what the current tax laws are today. This could always change if certain tax law extenders are reenacted. Looking at the geographic segments within our lift truck business, we expect the Americas 2015 operating profit to be moderately higher compared with 2014 excluding the gain on sale the Brazil facility and despite the Brazil volume decline associated with the plant transition. The first half of the year is expected to be down compared with the same period last year mainly as a result of the decline in the first quarter. As a result of the completed transition in Brazil and anticipated favorable foreign currency effects in currency rates in North America, we expect improvements in operating profit in the remainder of the year. We expect the operating profit in Europe to decrease in 2015 primarily as a result of substantial unfavorable foreign currency effects at current rates and pricing adjustment on certain series of drugs. This is expected however to be partially offset by improved volumes. Within Asia Pacific we expect operating results to increase mainly from the anticipated favorable effect of improved pricing and an anticipated increase in unit volumes despite higher expenses expected from market share gain initiative. Finally, in spite of a significant amount of expected capital expenditures in the current year, we anticipate cash flow before financing activities in lift truck business to improve in 2015 due to moderated working capital requirements. Now let me provide you some information on our Nuvera results. In the first quarter of 2015 Nuvera reported a net loss of $3.6 million and revenues of $1.2 million. As we mentioned last quarter we do not expect to reach breakeven at Nuvera until roughly sometime in 2017. We’ve now owned Nuvera for four months, we’re highly encouraged by the interest we’re receiving from our customers, dealers and potential partners regarding the Nuvera products. We continue to believe that fuel cell markets for lift trucks has significant growth opportunities and we’re working rapidly to commercialize the Nuvera technology. As a result we expect a net loss of approximately $14 million to $17 million at Nuvera in 2015 as we focus on commercializing Nuvera’s fuel cell research and technology and integrating this technology into our lift truck product range. Minimal incremental revenues were realized in the first quarter of 2015 and revenues are expected to be in a similar range in the second and third quarters of 2015, although this could increase as a result of additional of [indiscernible] sales at $750,000 per unit. We expect increased incremental revenues to start being realized in the fourth quarter of 2015 as we commercialize the PowerEdge product line which can be substitutive for led asset batteries and introduce them to the market at an average selling price of between $17,500 and $35,000 depending on the model. We believe our U.S. customers will qualify for the 30% fuel cell federal tax credit which currently expires at the end of 2016 on these units and this tax credit would allow the customer to enjoy lower effective cost. Our startup objective is to book approximately 250 PowerEdge units in 2015 largely in the fourth quarter as well as additional power chip units throughout the year. However, we expect to spend cumulatively up to $40 million to $50 million of expense over 2015 in the next one to two years including approximately $24 million to $27 million this year for additional development commercialized in various technology and to reach breakeven during 2017. We believe this is a highly efficient method of investing in new energy solutions for our customers rather than invest significant after tax dollars in the acquisition of a new technology company, we’re able to invest pre-tax operating expenses and realize the associated income tax benefits along with these investment. Our projected loses for Nuvera are on a standalone basis do not include the synergistic impact of incremental volumes in lift truck business we expect to achieve along with the ongoing associated after market revenues for these products. In addition we believe being able to undertake the development and integration of fuel cell technology to meet the rigorous needs of lift truck customers, we will ensure we’ve a best in class solution that will help drive volume for both Nuvera and for our lift truck business. Overall, our consolidated business, we continue to anticipate that economic growth will improve in 2015 but are mindful of the uncertainties and risks in certain markets. Further at this time we expect currency to be a significant headwind. We’ll however continue to execute our key strategic initiative. We will see more positive market momentum that we’ve outlined here we believe our plans are well positioned to respond with additional volumes. That concludes our prepared remarks, I’ll now open up the call for your questions.
Operator: [Operator Instructions]
Christina Kmetko: While we’re waiting for questions let me provide you with my contact information. If you do have any questions after the call you can reach me at 440-229-5168. Charlotte do we have any question?
Operator: Yes. Our first question comes from the line of Mike Shlisky from Global Hunter Securities, your line is now open.
Unidentified Analyst: Good morning this is actually [Lee Preston] on the line for Mike. I just had a few quick questions for you so it looks like your margin in Europe exceed those in the Americas that doesn’t seem to happen too often was there same in European business beside mix that worked well in the quarter or was the Americas much lower than expected and going forward can we see the Americas margin improve substantially in Q2?
Alfred Rankin: I think where we’re at is we do have a mix issue in Europe and in Americas. We had a shift towards lower price, lower margin in comparison to the prior period. So that that did drive down our numbers. We do have inventory that is available to shift in the second quarter that wasn’t recorded in the first quarter and that will help balance out that mix in the Americas.
Colin Wilson: But you had of course the impact in the first quarter of Brazil and that has huge impact on the gross profit so I am not sure you can interpret those numbers in any useful way with regard to the Americas based on the kind of information which is available publicly. The gross profit was dragged down by the loss of absorption and Brazil do plan as we phased down the old one and began to phase up the new one. So I think and we had some as part Europe is concerned there were some favorable results but we got some big currency headwinds coming up in the rest of the year.
Alfred Rankin : Now the currency coverage in Europe really did help hold up our European margin. 
Unidentified Analyst: Okay that makes sense. Going back to what you were saying about Brazil I know that you are transitioning your production have you seen any impact from the macro or political unrest there or is it just in relatively smooth as far as you’ve seen?
Alfred Rankin : Well, the market is softer as is kind of both and the market is softer than it was last year. Brazilian market in the first quarter was that of a 25% on the same period of last year. Actually the softer market helps with when you are moving into a new plant it has enabled us to round up our volume in a very smooth way and volume now is basically up the level that we needed to be at to meet the current market conditions.
Unidentified Analyst: Okay, great and then one last question if I could, can you maybe update us on some pricing initials you are seeing in the market right now maybe in the U.S. Are you seeing any foreign patterns trying to take advantage of the FX rates at this point?
Colin Wilson: Well, the biggest challenge we have coming to the U.S. market is distribution. So the ability for foreign competitors to term top on and become more aggressive in the market places is very limited because they don't have the distribution with the parts and service support those foreign competitors that are here typically manufacturing in the market in sale and manufacturing here so we are basically competing with them on level plain field terms.
Alfred Rankin : Yes, I think it’s probably fair to say that Toyota has somewhat more Japanese currency content in their trucks than we do. We have a very broad basket of currencies on the other hand we probably have more Chinese content and other low cost country content and in our trucks than they do so I think it’s very difficult to say I guess I would say Colin you speak up on this, Toyota is very aggressive and its very competitive market out there. On the other hand our focus with our share gain programs is not on taking volume through price it’s on meeting customers’ needs more effectively then our competitors do and providing the kinds of support capabilities in addition to product capabilities that will really solve provide solutions for them. So I think that’s the way we probably answer your question.
Colin Wilson: Yes, and we do we import a lot of bigger units from Europe. So we are getting the help of the tailwind on currency with the product that we import. So we import more a lot more than we export. 
Unidentified Analyst: Okay great. I will leave there. Thanks guys.
Operator: Thank you. Our next question comes from the line of Mig Dobre from Robert Baird, your line is open.
Mig Dobre: Good morning everyone. 
Alfred Rankin : Morning.
Mig Dobre: Just tagging on to one of the questions that was asked in terms of the MEA margin it does surprise me as well it looks really good and frankly I was thinking that currency would be a bit of a problem it turned out to be a bit of benefit for you from what I have heard. I am trying to better understand that?
Alfred Rankin : Well again, I understand we hedge currencies and then hedges eventually run out and so that’s probably the most important thing to think about in terms of the results of and the way we hedge currencies is not on a global net basis. We hedge currencies basically in each market or sale to try to protect our competitive position in that particular market. So for example if big trucks are being sold in Europe, hedging would be designed to protect their competitive position in Europe and at that point they would not be hedging the dollar. On the other hand if they were bringing those trucks in to the United States we would be hedging the strong dollar now to protect the ability to buy at a low price. So whereas any components that are dollar based we wouldn't be hedging with such a strong dollar. So those can cause some real fluctuations and that simply add that the distortion is going to increase as the rest of the year goes on and basically if you look at the balance of currencies is we suggested in our earnings release the Americas will benefit and Europe will have a significant detriment. And so you it’s going to be very difficult to look individually these different areas of the country as in different areas of the world as these currencies fluctuate.
Colin Wilson: And I think what you are seeing also is that our top line Euro sales number is getting translated in U.S. dollars but below the line where we have our hedges they are going to affect. So, if you are looking at the margin percent the top line is getting reduced because of the currency but the operating our profit line is really being held up from the contracts and as Al pointed out we have heavy cover for the closing quarter but that cover rolls off as we go through the air.
Alfred Rankin : Now we can't of course and we are very clear on this in our earnings release we can't forecast what the currencies rates are going to be. What we make our comments based on and I would emphasize this point is the currency that rates are existed as of the last day of the first quarter. Our convention is that we don't forecast currencies we pick whatever the currency rate is at the end of the period as we prepare our next forecast as our mechanism for looking into the future and then of course some is hedged and some is not. And so, all of those factors are moving parts, this is going to be a tough period to try to get a clear understanding because the currencies are moving as you well know.
Mig Dobre: Right, right. Well, and this adds I think some variability to modeling into expectations that I am trying to think through which is why I am asking a question if you do have some hedges but some of them are rolling off the cadence here is it fair to expect that call it second quarter MEA margins are going to be better than like third or fourth quarter MEA margins just based on this currency issues assuming constant dollar.
Alfred Rankin : I think you are going to see margins deteriorating over the course of the year in Europe and improving over the course of the year from at least so far currency effects are concerned in the Americas.
Mig Dobre: Alright that’s helpful. I appreciate that and then in terms of Nuvera can you give us some color on the number of units embedded in your outlook and your break-even outlook to or rather I should say target for 2017 I appreciate the color on PowerEdge versus power tap and some of the pricing and so on. But what kind of units are you implicitly aiming for within the next few years?
Alfred Rankin : I think the right time will probably begin to give some information on that but we don't feel that the right time is here yet for us to do that. We have got a lot of activities under way in Nuvera in terms of commercializing the product in a proper way. However, we try to give you some basic understanding of the value of each of the units of the fuel cell product and the running rate of the SG&A and the development expense and if you think through certain margin structure and some sort of total volume given the prices that we have given you the average prices I think you can probably reach some kind of perspective and overtime we will be having more to say about that We’ve given you the best quarter projected for, but what we told you is that at this point as we have given you as is our convention more visibility by 2015 we are not saying much about the further future but I think you can model some perspectives and see generally speaking what the numbers need to be.
Mig Dobre: Yes sure and I think that’s always sort of have been one of the big questions that I had on Nuvera, one of them was that is being you provided that and I appreciate it the other thing was really the gross margin on this product but I understand that you might not be in a position to provide it now?
Colin Wilson: But I think what our objective is and I think you have got enough pieces to play with a little bit around the context of reaching running rate profitability at some point in 2017.
Mig Dobre: Alright and my last question is really on the overall European environment we are hearing basically that there is some improvement that we are seeing but its only in select geographies in Europe and obviously you have got your own specific mix maybe a little less exposure to Germany for instance how are you thinking about the next 12 months just from a pure activity in what you are hearing from customer, is this just speculation on our part or are we actually starting to see some shift of activity over there?
Alfred Rankin : Go ahead Colin.
Colin Wilson: Well if you look at the total EMEA market, your Middle East and Africa, it was up double-digits in the first quarter the western Europe was up quite strongly but again that was country specific, eastern Europe was down again double-digits and that was predominately Russia and Middle East Africa was broadly flat. So we tend to look at Europe as sort of single entity unit and it’s not that you got to really look inside it the economy in Spain and the U.K. and Germany doing quite well. Other economies have continued to struggle and again when you move East very, very bleak in parts of particularly Russia but I think overall we do see a stronger overall environment than we were seeing last year to show.
Alfred Rankin : Yes, I think another way to approach the question is the it does seem to us that the level of pessimism about the economies in Western Europe is a little bit lower than it was six months ago or in the fall and I would - one thing I would say again is that we are pretty careful in our planning not to back on increases in the market. But we have got quite wide windows to acceptable shipping time for trucks that are ordered. Obviously there is a quite a lead time between time that a booking is made and time that shipment is made. So our inclination is to run our factories in a very prudent way to load them conservatively and if backlog increases so much the better but we do not want to have situations arise where we have to take slots out of our manufacturing, it’s very disruptive, its disruptive to our suppliers and we are happy to have that revenue show up later rather than sooner under those circumstances. So we are pretty careful about that because I think the other part of that concern or comment I would have is well there maybe some sign of it you put it green suits it’s still cloudy, it’s still uncertain. And it’s not at a level that I think any of us feel comfortable accounting on these numbers.
Colin Wilson: The other thing is if you look back you can look up year over year comparison or you can look at the current level of demand compared to the peak so I mean you take countries like Germany and U.K. they are rather above the previous session levels. Those markets are fully recovered and better than they were being in the last peak. Countries like Spain which you got pretty high growth rate right now but I mean they are way, way off where they were before the rescission. Italy as well so there is - they are improving but it’s still long way to go green suits.
Mig Dobre: I appreciate that and I guess I will squeeze one last then on the U.S. specifically and your U.S. business throughout the quarter we offered a lot of the heavy manufacturers struggling frankly with a number of difficult end markets mining is weak, tag is pretty much collapse, construction equipment is also very stop and go and obviously oil and gas is problematic now. My understanding is you don't have direct exposure to some of these things but your customers do and I am wondering are you seeing any hesitancy at all with regards to their own capital investment considering the challenges that they are struggling with?
Alfred Rankin : So let me just give you sort of a generic answer. The market for forklift trucks is extremely diverse in terms of SSI code dispersion. And the best overall calibrator if you will continued forklift truck improvement tends to be GP growth and -
Colin Wilson: Well yes, but we had none in the first quarter.
Alfred Rankin : And so well that’s why we have been pretty conservative about our growth prospects in North America on the other hand we don't see anything affecting us in the downward direction the way so many other industries have been affected. So -
Colin Wilson: I think, a lot of buying decisions, first quarter was pretty robust Austin North America for lift trucks but I think a lot of those decisions that was started last year backend so obviously a little bit more of a cautious view on the balance of the year so even though the first quarter was up with basically saying we don't see that continuing throughout the year but we don't see going down either.
Mig Dobre: Okay. Thank you.
Operator: Thank you. Our next question will be coming from the line of Joe Mondillo from Sidoti and Company. Your line is open.
Joe Mondillo: Hi guys good morning. My first question related to the America segment. So in terms of the more specifically the guidance that you gave which you say in the press release and I think you also reiterated in your commentary you expect to be moderately higher in 2015 compared to 2014 my question is so with the expectations that you also say that you are anticipating sort of flattish growth on the top line on that segment and with operating income at the segment down 35% in the first quarter and then all the headwinds related to product mix flat demand and also the Brazilian facility that's mostly likely going to least affect maybe April or May how you get to year-over-year growth even if you exclude the Brazil gain in the second quarter of 2014?
Alfred Rankin : Well, we see some volume coming back and that's going to be a very significant portion of the last three quarters but we have got a variety of other things that should help move us forward as well and so we expect our gross profit and the remaining three quarters to be up we expect the volumes to be up over those four or three quarters and we will have extra SG&A expenses but on the other hand the currency benefit that we were just talking about a little earlier was a detriment in the first quarter and it should be in likelihood positive in the remaining three quarters of the year. So you put all that together and you come up with what we said as an outlook in total for the next three quarters and I think the difficult part of the difficult is there is a lot of moving parts particularly as a result of currency and it’s affects, I would add to the material cost has an impact that is the moment surprisingly favorable and that may change later in the year and then of course our objective as we have said is that the volume goes up not just because of the market but because of the improved share position as well. So you put all those factors together and that's how we come out with the forecast we give you.
Joe Mondillo: Is there any way you can quantify the currency hindrance in the first quarter and assuming today's rate or at the beginning of the quarter, at the beginning of the second quarter rate you can let us know what the benefit of the hedges would be throughout the rest of the year.
Alfred Rankin : I think we are only going to put out what we have in the queue can what level of details disclosure is there in the queue. 
Colin Wilson: We pull out the bids of currency both in margin and in our SG&A expenses I think those would be helpful as you go along it kind of featuring back your prior question, I mean the best forward looking information we give you is our backlog and our backlog is up so we are calibrating our backlog to help us understand where we are going to be going forward for the rest of the period. We have got 31,900 trucks in backlog that's up significantly and so that that's a good indicator for us to help you calibrate.
Alfred Rankin : And don't forget about Brazil. The big negative was in the first quarter. Now there maybe some level of phase in during the second quarter but the big negative was in the first quarter and much remains to be seen about the reminder of the year calling indicator and market is weak and we are concerned about the market in Brazil. On the other hand we introduced new products. We have a lot of plans to enhance our all already very strong position in the Brazilian market. So we are hopeful that our volumes in Brazil may do better than the marketplaces itself n we have been building backlog.
Colin Wilson: Well, I think the first quarter volume were impacted by two I would call them sort of temporary issues, one was Brazil and the other one was volume. We did have a buildup in inventory that was sold that we had shift towards the end of March and the other inventory is getting [indiscernible] in the second quarter so I think the backlog increase and the volumes were down but that again the backlog is sold truck so it was - we have the orders we just didn't get them out before the end of March.
Joe Mondillo: Great. And regard to product mix you talked about how that's going to be unfavorable for you for the rest of the year looking at Americas just looking at the Americas is that going to be the same kind of dynamic as the entire company is going to see or is are they going to see maybe a better mix than maybe Europe or elsewhere.
Alfred Rankin : Let’s compare to the previous year it’s going to be pretty reasonable or in favorable with Americas and its going to be somewhat unfavorable at least we are looking at today in Europe but not hugely. I don't see mixes being huge factor in the equation.
Joe Mondillo: Okay. And then also I wanted to ask you regarding Nuvera, I was just wondering how you are looking at sort of how this Nuvera venture is going to affect your overall cash flow what kind of cash I mean you don't have to quantify what your actual estimate or what you guys are guiding to or internal estimates but I am just wondering sort of directionally why how much working capital are you do you need how much CapEx do you need for Nuvera and how does your - how do you look at the overall -
Alfred Rankin : The biggest factors are the SG&A losses. I don't think the rest of it is particularly material.
Colin Wilson: Yes, we will clearly tax benefit those against the income of U.S. income we have with the company so the cash flow will typically be the after tax cost of the development cost in the SG&A brand. CapEx is included in our CapEx forecast Joe for Nuvera so those numbers are integrated.
Joe Mondillo: And what was the CapEx for the year?
Colin Wilson: Did we talk about that at the investor day, I thought we did. Yes, the Nuvera CapEx?
Alfred Rankin : We don't have major CapEx coming up in -- there is going to be some but it’s not major and then as to working capital there will be some build up starting in the fourth quarter but again I think the major case impact is from the after tax losses that Ken just described.
Joe Mondillo: Right. I guess what I am trying to sort of understand and what your sort of outlook is relative to the sort of $50 million of free cash flow that you generated in 2014 do you see that being higher or lower in 2015? 
Alfred Rankin : I think we gave some guidance in the earnings release on cash flow for the year and we expected to slightly improve in 2015 we expected to be improved compared to the previous year.
Colin Wilson: Joe that's really based upon working capital estimates.
Joe Mondillo: Okay. And then just lastly in terms Nuvera?
Alfred Rankin : I would just say that. Yes I would just leave it at that. Sorry.
Joe Mondillo: Okay. One clarification I have on Nuvera and then I have another question on Nuvera, but in terms of the clarification the 250 PowerEdge units that you anticipated is that the pricing that you mentioned in the release of 17500 and 35000?
Alfred Rankin : Yes. And the range is broad because right now we are looking at pretty the law end will be for mobile class three product in the high ram would be for more of our medium capacity electric class 1 trucks.
Joe Mondillo: Okay and regarding the second question I had was relative to the 6 million of operating income losses that you have saw in Nuvera, how do you see existing the year in the fourth quarter relative to that 6 million?
Alfred Rankin : I think we have given you the operating expense forecast for the full year and the net income, net loss I should say forecast for the full year and we gave you range in the release and so I think we would say we are on track with that forecast and with that estimate of net loss after task.
Colin Wilson: Yes, I mean if we can book the units that we suggested we are going to book, we are shift the units and that will reduce the operating loss from Nuvera in the fourth quarter. I don't think that there is any reason to think that the loss is going to be materially different in the first couple of in the next two quarters that is second and third and then the fourth quarter you begin to see the benefit of some additional volumes but I think that the impacts are not going to be huge in 2015 in terms of fourth quarter we are just beginning to starting the ramp-up van and get going.
Alfred Rankin : We really see that we are looking at the ’16.
Joe Mondillo: Okay. I guess what I was just trying to get out was that given the guidance for the full year, given the guidance of million a quarter for the next two quarters of revenue it looks like potentially the operating losses may be bumped up a little bit in the second and third quarter and that would mean that the fourth quarter probably I mean if you do hit the revenue goal on the fourth quarter hopefully and obviously you would see a lower tick down in the operating losses in the last quarter I was just I don't know if you had an idea, okay. Thanks.
Operator: [Operator Instructions] Our next question comes from the line of [indiscernible] your line is now open.
Unidentified Analyst: Hello good morning from London. Thank you very much for the presentation just a few questions sort of on the markets and then also some stock specific and also the currency headwinds. First of all on the European market you said that you have seen unit setting for a higher prices what do you think that could be and instead of what is your mix effect on that? And then, the next point would be you said mix going forward could be unfavorable what is that based on in particular for the European markets and how does that compare to the U.S.?
Alfred Rankin : Well I mean what we said was that our margin percentage unit was higher because of the fact that our selling price was being translated into lower dollars because of the currency and we largely hedged on the cost side. As far as our mix of products - I don't think we made any specific comments about that. The European market was actually weaker from a mix perspective but about didn't really impact our shipments in the first quarter. So I think our shipments were broadly in-line with what they have been in previous quarter from a percentage. That was - but what was the second question? 
Unidentified Analyst: You said going forward the mix could be unfavorable in terms of products mix I am struggling to understand why that is are cheaper trucks being board out in Europe at the moment or what exactly do I have to understand that.
Alfred Rankin : I think part of way to explain that is that we look at Europe as three different markets, three separate market western Europe, we have eastern Europe we have middle East Africa and we call that all the EMEA all that territory. Eastern Europe is down right now and due to Russia eastern Europe is where we will see some increase shipments potentially as we go forward as well as middle East and those tend to be less sophisticated trucks in those markets then you typically see in the western European market. The other thing I realize I think you might have seen that in a investor day that European market is much strong as much stronger class three market than the U.S. is. So, as we gain participation in class three -- as is part of our crack a code and ware house we would expect to sell some lower price trucks in the European market. 
Colin Wilson: I wouldn't put too much emphasis on average prices and mix and stuff like that. I would just remind you that we have trucks that sell at the low end or class three truck that sell for -- is $3000 or $4000 and we have some trucks at the high end they can sell for half a million dollars. And so there is a lot of room for things to move around and at the high end you are not talking about large numbers. And so few trucks shipped in any one quarter can have a difference in the number and the impact for us. That's not very easy to forecast with precision. We can kind of look at whole year and had a pretty good perspective but we don't necessarily have a good perspective on when those trucks will be booked in and shift.
Unidentified Analyst: Okay. I understand. And then in terms of the U.S. market do you see more class three trucks to be sold going forward because it’s interesting actually that the market is so heavily in terms of I see it not very much warehouse equipment. What’s your view going on forward on that.
Alfred Rankin : The one comment I beg and maybe Colin wants to add something is keep in mind that one of our objectives and its particularly true in North America is doing enhance our share position in class two and three. And we have as one of our share gain programs enhancing our position in the warehouse market well that is mainly a class two and three market there are some trucks in class one electric involved but so overtime we certainly want to have a stronger position in those markets but other than that there are not lot moving around for mix in the short term anyway.
Colin Wilson: I mean the US market is a lot more 1.5 [indiscernible] its growing overtime but its near significant percentage of the market is it is in Europe. But definitely shift overtime to world class two and three. Actually one two and three from five.
Unidentified Analyst: What you’re saying are the drivers behind this in particular?
Alfred Rankin : The drivers behind the shift away from class one-five are many but I mean a lot of it is with the environmental legislation that's coming in that's forcing companies to think differently about the power side, it’s one of the key drivers behind the investment in Nuvera and development of products with lithium ion batteries.
Unidentified Analyst: Okay. I understand, in terms of actually as you highlighted Nuvera just to mentions that what I find interesting you highlighted the price point of the Nuvera power cap sales team between $18000 - $35000 do you have to understand that in truck would normally sale and let’s say an IC truck or electric truck with double sale for $3000 including a battery would now be selling for about $50,000 to $60,000 because that unit alone would be that price or is that the price of the whole truck?
Alfred Rankin : We got to think about the price of the battery. The price of the batteries let’s just say it’s in a $7000, $8000 range, fuel cell you need one if you want heavy duty application you need three batteries. So we are developing our fuel cells last basically target life is 20,000 hours you buy a fuel cell you put it in the truck it’s just like an engine you got - it takes three minutes to refill. You need one. You don't have any degradation of performance as the shift goes on. It’s a totally clean energy solution so we don't process that we should be putting fuel cells into volume light duty applications unless there is significant environmental concerns. We do believe that not only will the fuel cell buy them economically friendly solution it will be very economical for heavy duty applications.
Unidentified Analyst: Okay and then in terms of tax credits that you say are still running is there any chance they get renewed to how much would you think - ?
Colin Wilson: We have to ask Mr. Obama that but I mean our business case and our business plan does not assume but they will continue so if they do continue that will be a boost to the prospects of the business.
Alfred Rankin : I have never felt as this really a view gained over many years that it is ever wise to form a business case around government subsidies. They come and go. They are subject to political whim and it is far better to have a fundamental sound case and if there is some other beneficial on the way that's fine.
Unidentified Analyst: Okay. So then I understand also that this units at the moment your business case in Nuvera is very much North America but this should very much be able to be shift to your Asian markets your European markets and globally really?
Colin Wilson: Our business plan we have a business plan that has actually some very - I think conservative assumptions and is largely based upon North American demand but we are looking at fuel cell it been an opportunity for us globally. We see it being an opportunity in Europe we see a bit opportunity a significant opportunity in Asia. So as those markets develop and as the demanding increases again that would be -
Alfred Rankin : The one thing I would add is that North America and western Europe have the most high intensity application so if the type that Colin just spoke up. That would require three batteries for an electric truck and in Asia those are fewer and farther between just by nature of the kind of activity that forklift trucks in industry are performing there. So there is some differences in how these things may be applied. There may be some markets in Japan that are high intensity where we can sell them but anywhere I think the better answer to your question is any where there are the sorts of high intensity of the applications we will be prepared to sell into and expect to do so.
Unidentified Analyst: Okay excellent. Then maybe just one just on house of the Asian market environment going. You performed fine out there, what is the development because there is lot of noise coming out of China saying specially on the IC front that would be affecting I guess IC truck market is dropping heavily but has now recovered. Have you seen any recent news flows out there how does it really go into your view on the region?
Colin Wilson: If you look at the entire region China did have a very poor quarter, growth in China is slow, it’s around 7% level the government is looking to boost the economy but demand, market demand in China overall was down significantly in the quarter double-digits again. [Indiscernible] wasn't done quite as much we look at the market both ways, the market wasn't down as much I think that's because again those type of companies have probably less cyclical than the broader Chinese economy. So we have 8% in China we are not huge in China so it really doesn’t affect our business overall. We have both that.
Alfred Rankin : Our business is much stronger with the western companies in China this is so called brand market that Colin was referring to and we don't have broad and significant position in the world duty utility type truck in China and in fact some of the people we work with collaboratively have truly the strong positions in those markets and I think we are inclined to be very, very careful about how we participate in China specially in the near term you can make an argument that early history in all countries in the forklift truck business has been ultimately highly cyclical, you reach a point of saturation and a completion of industrialization cycles and then a fall off in volume so that maybe - that may lie ahead but that's really not the part of market we are participating in we have business with General Motors and people like that in China and naturally we are the core of our market is with the kinds of products that we think are - it meet their needs in the rest of the world. 
Colin Wilson: Our performance in Asia-Pacific segment is more in part being driven by the Asian countries outside of Japan and China in the current quarter. I think that kind of helps calibrate that. 
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. I am not showing any further questions. I would like to turn the call back over to Christina Kmetko. 
Christina Kmetko: Okay. Thank you everyone for joining us today. Again if you do have any follow-up questions please feel free to give me a call. That wraps it up for us.
Alfred Rankin : Thank you very much.